Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Westlake Chemical Corporation's Second Quarter 2018 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After the speakers' remarks, you will be invited to participate in a question-and-answer session. As a reminder, ladies and gentlemen, this conference is being recorded today, August 2, 2018. I would now like to turn the call over to today's host, Jeff Holy, Westlake's Vice President and Treasurer. Sir, you may begin.
Jeff Holy - Westlake Chemical Corp.: Thank you, Sandra. Good morning, everyone, and welcome to the Westlake Chemical Corporation second quarter 2018 conference call. I'm joined today by Albert Chao, our President and CEO; Steve Bender, our Executive Vice President and Chief Financial Officer; and other members of our management team. The conference call agenda will begin with Albert, who will open with a few comments regarding Westlake's performance, followed by a current perspective on the industry. Steve will then provide a more detailed look at our financial and operating results. Finally, Albert will add a few concluding comments and we'll then open the call up to questions. During this call, we refer to ourselves as Westlake or Westlake Chemical. Any reference to Partners or the Partnership is to our master limited partnership, Westlake Chemical Partners LP, and references to OpCo refer to our subsidiary, Westlake Chemical OpCo LP, who owns certain Olefins facilities. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs, as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and, thus, are subject to risks or uncertainties. Actual results could differ materially based upon many factors, including the cyclical nature of the chemical industry; availability, cost and volatility of raw materials, energy and utilities; governmental regulatory actions; changes in trade policy and political unrest; global economic conditions; industry operating rates; the supply/demand balance for Westlake's products; competitive products and pricing pressures; access to capital markets; technological developments; and other risk factors as described in our SEC filings. This morning, Westlake issued a press release with details of our second quarter results. This document is available in the press release section of our webpage at westlake.com. A replay of today's call will be available beginning today at 2:00 PM Eastern Time until 11:59 PM Eastern Time on August 9, 2018. The replay may be accessed by dialing the following numbers. Domestic callers should dial 855-859-2056. International callers may access the replay at 404-537-3406. The access code for both numbers is 2265449. Please note that information reported on this call speaks only as of today, August 2, 2018, and therefore, you're advised that time-sensitive information may no longer be accurate at the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our webpage at westlake.com. Now, I would like to turn the call over to Albert Chao. Albert?
Albert Yuan Chao - Westlake Chemical Corp.: Thank you, Jeff. Good morning, ladies and gentlemen, and thank you for joining us to discuss our second quarter 2018 results. In this morning's press release, we reported quarterly net income to Westlake of $278 million for the second quarter of 2018, or $2.12 per diluted share. Second quarter 2018 income from operation was a record $404 million and quarterly EBITDA was $568 million. Strong industrial activity and economic growth continued to drive strong demand for all of our major products, including polyethylene, caustic soda and PVC. Our Olefins segment continued to see tight supply for some grades of polyethylene and good demand for our products in both the domestic and export markets. Our Vinyls segment is benefiting from continued strong demand for caustic soda and our PVC products, reduced purchased ethylene cost with the startup of a number of ethylene facility in the U.S. Gulf Coast, and additional seasonal demand related to construction and water treatment. Earlier this week, we announced the reset of the distribution targets that determine the incentive distribution rights or IDRs of our master limited partnership, Westlake Chemical Partners. We believe this reset will strengthen the ability of the Partnership to raise capital at attractive levels and support drop-down transactions at attractive and accretive valuations to Westlake. The ability of the Partnership to provide cost advantaged equity to Westlake over long periods of time supports Westlake's strategy as we continue to grow our business. While Westlake did not receive any consideration for the reset due to the unique structure between Westlake and partners, Westlake will continue to receive the same cash flows that it would have received through the IDRs. These distributions will just be through Westlake's ownership of OpCo rather than through the MLP. I would now like to turn the call over to Steve to provide more detail on the financial and operating results.
Mark Steven Bender - Westlake Chemical Corp.: Thank you, Albert, and good morning, everyone. I will start with discussing our consolidated financial results followed by a detailed review of our Olefins and Vinyls segment results. Let me begin with our consolidated results. This morning, we reported net income attributable to Westlake of $278 million or $2.12 per diluted share for the second quarter of 2018 on record net sales of $2.2 billion. Westlake's second quarter 2018 net income increased $125 million compared to the second quarter 2017 net income of $153 million or $1.17 per share on sales of $2 billion. Record operating income of $404 million for the second quarter of 2018 increased $140 million from second quarter 2017 operating income of $264 million. Compared to the prior year period, second quarter of 2018 benefited from higher prices for our major products, including polyethylene, caustic soda and PVC resins; higher sales volume of polyethylene, caustic soda and PVC resin; improved operating rates in our Vinyls segment due to fewer planned turnarounds and unplanned outages; lower purchased ethylene cost; and a lower effective tax rate resulting from tax reform. Partially offsetting these benefits were impacts resulting from lost styrene sales volumes due to a planned turnaround that was completed in May 2018 and increased ethane feedstock cost. The second quarter of 2018 was also negatively impacted by $9 million associated with increased reserves related to pre-acquisition periods at both Axiall and our European vinyls business, integration cost of $8 million, and a one-time tax charge of $6 million, driven by changes in state and foreign tax rates. The after-tax impact of these three items was $19 million or $0.14 per share. Our utilization of the FIFO method of accounting resulted in an unfavorable pre-tax impact of approximately $12 million or $0.07 per share in the second quarter compared to what earnings would have been reported on the LIFO method. This calculation is only an estimate and has not been audited. Second quarter 2018 net income to Westlake of $278 million decreased $9 million from the first quarter 2018. This decreased net income from the prior quarter is due to the higher reserves I just mentioned and the higher effective tax rate driven by state and foreign tax rate changes impacting just this quarter, partially offset by lower interest expense resulting from the retirement of $1.2 billion in debt during the first six months of 2018. Record income from operations of $404 million was $3 million higher than first quarter 2018 operating income of $401 million. Compared to prior quarter, the second quarter 2018 saw higher sales prices and volumes for North American PVC resin and downstream vinyls products, higher sales prices for caustic soda, higher sales volume for polyethylene, and lower purchased ethylene cost. Offsetting these increases were higher ethane feedstock cost and higher impact from planned turnarounds in both our Olefins and Vinyls segments. For the first six months of 2018, net income to Westlake of $565 million or $4.31 per share increased $274 million from net income to Westlake of $291 million or $2.23 per share for the first six months of 2017. Operating income of $805 million for the first six months of 2018 increased $307 million from operating income of $498 million for the first six months of 2017. Compared to the prior year, the first six months of 2018 benefited from higher sales prices for major products, higher operating rates and lower cost in our Vinyls segment resulting from fewer planned turnarounds and unplanned outages, lower purchased ethylene costs, and a lower effective tax rate. These benefits were partially offset by lower styrene and polyethylene sales volumes due to planned turnarounds in our Olefins segment and higher ethane feedstock cost. Now, let's move on to review the performance of our two segments, starting with the Olefins segment. In the first (sic) [second] quarter of 2018, the Olefins segment reported operating income of $158 million, an increase of $15 million from second quarter 2017 operating income of $143 million. This increase in operating income was due to higher sales prices for our products and higher polyethylene sales volumes, partially offset by higher ethane feedstock cost and impacts from planned turnaround of our styrene unit. Second quarter 2018 operating income of $158 million decreased $5 million compared to first quarter 2018 operating income of $163 million. This decrease in operating income was primarily due to the impacts from turnaround activities, higher ethane feedstock cost and lower polyethylene sales, partially offset by higher polyethylene sales volumes. For the first six months of 2018, Olefins income from operations of $321 million was comparable to income from operations of $323 million for the first six months of 2017. First six months of 2018 experienced lower sales volumes due to increased turnaround activity and higher ethane feedstock costs, which were largely offset by higher sales prices for our major products. Now, let's move on to the Vinyls segment. Second quarter 2018 Vinyls operating income of $271 million increased $130 million from second quarter 2017 operating income of $141 million. The increase in operating income in the second quarter 2018 is primarily due to higher margins that resulted from higher sales prices for our major products, including caustic soda, PVC resin, and downstream vinyl products and higher operating rates and sales volumes due to fewer planned turnarounds and unplanned outages when compared to the second quarter of 2017. While we benefited from purchases of lower priced ethylene in the second quarter, not all of our purchases are at spot prices. Second quarter 2018 operating income of $271 million for the Vinyls segment increased $5 million from first quarter 2018 operating income of $266 million. Compared to the first quarter of 2018, the second quarter continued to benefit from higher sales prices for caustic soda, PVC resin and downstream vinyl products, higher sales volumes for North American PVC resin and downstream vinyl products, and lower purchased ethylene cost. These benefits were partially offset by increased impacts of planned turnarounds compared to the first quarter. For the first six months of 2018, Vinyls operating income of $537 million increased by $326 million compared to the first six months of 2017's operating income of $211 million. The increase in operating income compared to the first half of 2017 was primarily due to higher sales prices and volumes for all of our major products, improved operating rates and lower cost resulting from fewer planned turnarounds and unplanned outages, and lower purchased ethylene cost. The first six months of 2017 were negatively impacted by the turnaround and expansion of OpCo's Calvert City ethylene unit as well as a number of other planned turnarounds and unplanned outages as we invested to improve the operations and reliability of the Axiall facilities acquired in the second half of 2016. We are benefiting from these reliability investments through higher operating rates throughout our vinyls chain, especially during this period of increased margins. We are also benefiting from increased synergies from our Axiall acquisition as compared to the prior year period. We remain on track to deliver the $250 million in synergies throughout this year. Now, let's continue our discussion of the balance sheet and statement of cash flows. Second quarter 2018 cash flows from operating activities were $324 million and we invested $158 million in capital expenditures. For the first six months of 2018, cash flow from operations was $549 million and capital expenditures were $312 million. Looking ahead to the rest of the year, we expect full year 2018 capital expenditures to be between $600 million and $650 million, which includes our normal maintenance capital expenditures, our portion of the construction of the ethylene cracker being built jointly with Lotte Chemical in Lake Charles, Louisiana and the acquiring the long lead equipment for our chlorine, VCM and PVC expansions in Geismar, Louisiana, in Burghausen and Gendorf, Germany that we announced earlier this year in February. Although our effective tax rate creeped higher this quarter due to two one-time events, we expect our effective tax rate for the second half of this year to be 23% and our cash tax rate for 2018 to be 16%, in line with the guidance previously provided. As of June 30, 2018, we had cash and cash equivalents of $482 million and total debt of $2.7 billion. During the first six months of 2018, we repaid $1.2 billion in debt and since our acquisition of Axiall in August 2016, we have repaid $1.7 billion of debt and meaningfully improved our credit profile. With that, I will now turn the call back over to Albert to make some closing comments. Albert?
Albert Yuan Chao - Westlake Chemical Corp.: Thank you. Thank you, Steve. This quarter's results demonstrate the value of our investments in the operational reliability of our facilities, while we continue to experience strong global demand for all of our major products. Looking forward, we believe the increased industrial and economic activities will drive strong demand for our products. As a result of expanded shale oil and gas drilling activity driven by higher oil prices, we expect to continue to benefit from globally competitive ethane and natural gas in our Olefins segment, while our Vinyls segment will be driven by strong global demand for PVC resin and caustic soda and lower purchased ethylene costs with limited global vinyls capacity additions on the horizon. We remain focused on pursuing growth initiatives such as our joint venture ethylene facility with Lotte in Lake Charles, which has a planned startup in the first half of 2019, the 750 million pounds of PVC expansions in Geismar and Burghausen, the 200 million pounds VCM expansions in Geismar and Gendorf and have positioned our master limited partnership to continue to be an important element to fund our future growth. We'll continue to explore additional debottleneck opportunities and search for other growth initiatives that will deliver value to our shareholders. Thank you very much for listening to our earnings call this morning. Now, I'll turn the call back over to Jeff.
Jeff Holy - Westlake Chemical Corp.: Thank you, Albert. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available starting today at 2:00 PM Eastern Time. We'll provide that number again at the end of the call. Sandra, we'll now take questions.
Operator: Thank you. And our first question comes from the line of Stephen Byrne with Bank of America Merrill Lynch. Your line is now open.
Stephen Byrne - Bank of America Merrill Lynch: Yes. Thank you. I hope you can hear me. You're coming across very choppy to me. So, let me know if you can't hear me. But I wanted to ask you how attractive you see the returns on potential debottlenecks that you have in your downstream, either Olefins or Vinyls business in Lake Charles. And could you see that as being pulled forward if you were to take advantage of an earlier opt-in on the Lotte cracker?
Albert Yuan Chao - Westlake Chemical Corp.: Certainly. We have been and we are continuing to looking at debottleneck opportunities both in our Vinyls and Olefins segments. The ethylene joint venture with Lotte, as we said earlier, expected to start up in the first half of 2019 where we will evaluate the situation at that time... (20:33-21:00)
Mark Steven Bender - Westlake Chemical Corp.: Operator, are you still with us?
Operator: Yes, I'm here.
Albert Yuan Chao - Westlake Chemical Corp.: Okay. Are you...
Mark Steven Bender - Westlake Chemical Corp.: We're ready for the next question.
Operator: Thank you. And our next question comes from the line of Neel Kumar with Morgan Stanley. Your line is now open.
Neel Kumar - Morgan Stanley & Co. LLC: Hi, thanks for taking my question. It looks like EBITDA margins in Vinyls was down 100 basis points sequentially despite pricing improvements. Can you give us some color on the drivers of that, and was that due to outages in Vinyls in the quarter that led to higher costs?
Mark Steven Bender - Westlake Chemical Corp.: I'm sorry, you are cutting out, the line quality isn't as good as – as I wished it were. Can you repeat your question?
Neel Kumar - Morgan Stanley & Co. LLC: Sure. It looks like EBITDA margins in Vinyls was down 100 basis points sequentially despite pricing improvements. Can you give us some color on the drivers of that? Was that due to outages in Vinyls in the quarter that led to higher costs?
Mark Steven Bender - Westlake Chemical Corp.: Certainly, we're going to have certainly normal planned maintenance activity throughout the quarter and certainly that speaks to that. But I think you can see that our operating rates were meaningfully improved year-over-year, quarter-over-quarter. So, I think again we continue to see a strong operating environment, but we are going to have normal maintenance expenses throughout the quarter.
Neel Kumar - Morgan Stanley & Co. LLC: Okay. And then, we've seen some softening in Asia caustic prices recently, and it seems like some suppliers have begun to reduce operating rates in response to those lower prices. What is your assessment of the situation there and do you expect prices to rebound?
Mark Steven Bender - Westlake Chemical Corp.: Yeah. In fact, we're continuing to see quite a strong market. And as you may have seen from a number of research articles, I think we do see some of that weakness, but I think that weakness is transitionatory. We continue to see a very firm market, demand drivers that we see remain to be firm. And so I think this is just transient.
Albert Yuan Chao - Westlake Chemical Corp.: Yeah. We believe the – at today's Asia spot caustic prices, it's about breakeven value for ECUs in Asia. So, we don't believe there'll be much downside on the other side because of the lower caustic prices as opposed to higher PVC prices in Asia and the rest of the world. So, we are seeing some PVC spot price moving up in Asia as a result.
Neel Kumar - Morgan Stanley & Co. LLC: Great. Thanks.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And our next question comes from the line of P.J. Juvekar with Citi. Your line is now open.
Eric B. Petrie - Citigroup Global Markets, Inc.: Hi. Good morning. This is Eric Petrie on for P.J.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Eric B. Petrie - Citigroup Global Markets, Inc.: In the Vinyls segment, could you just discuss your comment that said you saw lower sales volumes in Europe, as well as give us any kind of qualification for the amount of cost related to turnarounds and unplanned outages?
Mark Steven Bender - Westlake Chemical Corp.: The volumes actually were strong throughout Europe. And so if you misheard me or if I misspoke, volumes were actually strong throughout Europe during the quarter and we continue to see that strength in the early stages of this quarter.
Eric B. Petrie - Citigroup Global Markets, Inc.: On a quarter-over-quarter basis or year-over-year?
Mark Steven Bender - Westlake Chemical Corp.: Both, year-over-year and quarter-over-quarter. It's certainly quarter-over-quarter because we have the seasonal upswing which we normally see in the second quarter over first quarter, but year-over-year we've also seen strength in the economy and strong demand drivers, accordingly.
Eric B. Petrie - Citigroup Global Markets, Inc.: Okay. Thanks. And secondly, I wanted to ask about your outlook on caustic soda and pricing, a competitor, I was looking, saying that pricing into second half will increase. Do you agree with that view?
Albert Yuan Chao - Westlake Chemical Corp.: Well, the caustic soda prices has somewhat remained flat after the price increases announced in the first quarter of this year and we will see whether the overseas market have any impact. So far it has not impacted the U.S. domestic market or in regional markets in Europe or in Asia. It's a spot market, which is a small part of the caustic sale, has been impacted by the lower price in Asia.
Eric B. Petrie - Citigroup Global Markets, Inc.: Great. Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And our next question comes from the line of Jim Sheehan with SunTrust. Your line is now open.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Hi, good morning.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning.
James Sheehan - SunTrust Robinson Humphrey, Inc.: So, on the caustic soda spot price situation in Asia, do you think that that market for spot – the spot market in Asia provides any meaningful insight into the global supply/demand balance?
Albert Yuan Chao - Westlake Chemical Corp.: As we said earlier that we believe the spot price in Asia has reached the bottom in terms of ECU breakeven for Asian producers. And depending on the supply/demand situation economic activities, we are seeing some slower growth in Asia, in China especially. And I think the Chinese government is implementing both fiscal and monetary policies to stabilize the Chinese economic growth. So, we will see in the next few months what these stimulus will impact the Chinese economy.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you. And on Olefins, you're recording a 4.4% year-over-year volume decline. Was most of that due to the turnarounds? Or could you explain what drove that, whether it was polyethylene or some other products? It looks like one of your competitors this morning reported double-digit growth in polyethylene?
Mark Steven Bender - Westlake Chemical Corp.: Yeah. Jim, that was entirely driven by the planned turnaround in our styrene unit and nothing more than that.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you.
Mark Steven Bender - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And our next question comes from the line of John Roberts with UBS. Your line is now open.
John Roberts - UBS Securities LLC: Thank you. Albert, do you have any thoughts on tariffs, particularly as it relates to the vinyls markets since there's so much global trade in vinyls?
Albert Yuan Chao - Westlake Chemical Corp.: Sure. We do not export much to China, which is the tariffs right now with the U.S. because of the antidumping duty that Chinese have on U.S. produced PVC. So, right now we don't see much impact at all. But I think the tariff dispute within the U.S. and China covers a much more broader range of products. So, we'll see in the next few months how that negotiations are going on. We hope it will not have a material impact on the global petrochemical business.
John Roberts - UBS Securities LLC: And then maybe, Steve, just a modeling question, when you start booking equity income on Lotte, does that go in the Olefins or the Vinyls segment? And maybe related to that, does the cost of ethylene vary significantly quarter to quarter between the two segments?
Mark Steven Bender - Westlake Chemical Corp.: John, it'll go into our Vinyls segment. And your second question was?
John Roberts - UBS Securities LLC: The cost of ethylene between the two segments, does it ever vary by, say, more than a nickel a pound between the two segments in terms of what your actual realized costs are?
Mark Steven Bender - Westlake Chemical Corp.: Well, of course, embedded in our Vinyls business is the ethylene plant in Calvert City and embedded in our Olefins group are the two crackers we have in Lake Charles, and so they both have the benefit of producer economics. Once the Lotte cracker is up and running, that Vinyls segment will participate with the benefit of having that currently 10% ownership of producer economics. And then we'll buy the remaining portion. As you may recall, we're contracted to buy additional ethylene at market prices...
John Roberts - UBS Securities LLC: Yeah. Thank you.
Mark Steven Bender - Westlake Chemical Corp.: ...from Lotte. Yeah.
Operator: Thank you. And our next question comes from the line of Don Carson with Susquehanna. Your line is now open.
Mark Steven Bender - Westlake Chemical Corp.: Don, are you there?
Operator: Mr. Carson, your line is now open. If your line is on mute, please unmute it.
Donald David Carson - Susquehanna Financial Group LLLP: My question has been answered. Sorry. Thank you.
Operator: Thank you. And our next question comes from the line of David Begleiter with Deutsche Bank. Your line is now open.
David Huang - Deutsche Bank Securities, Inc.: Hi, this is David Huang here for David. I guess, Albert, what's your view on ethylene chain margin in the second half of 2018 and early next year, given higher ethylene prices, more supply coming online and seasonally lower demand?
Albert Yuan Chao - Westlake Chemical Corp.: Yes, we believe, the ethane higher prices was caused by various factors. Certainly, the Mariner East issue that did not have ethane going – export from the Marcellus area has pushed more demand from the Gulf Coast and it has come on stream now. And certainly also some of the pipeline issues facing the bottlenecks between the Permian Basin area, the higher production for ethane and gas liquids. But the forecast by IHS and other industry consultants are seeing that ethane and butane (31:02) will improve later part of this year and the forward price, the future price of ethane is coming down into the 20s by the end of the year or early next year. So, we see that pressure should moderate. The chain margin olefins, this is from ethane to polyethylene. I think so long the global economic demand is still strong and oil price stays strong, polyethylene prices will stay high around the world, which would support the PE price despite the new expansions we're seeing of polyethylene capacities coming online in the U.S. So, I think it's economic activity driven and oil price driven, that will determine the chain margin for the olefins.
David Huang - Deutsche Bank Securities, Inc.: Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And our next question comes from the line of Hassan Ahmed with Alembic Global. Your line is now open.
Hassan I. Ahmed - Alembic Global Advisors LLC: Good morning, Albert and Steve.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning, Hassan.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Hassan I. Ahmed - Alembic Global Advisors LLC: So, again, wanted to revisit the sort of recent caustic spot price weakness we've seen in Asia. A couple of the sort of [Technical Difficulty] (32:17) were talking about [Technical Difficulty] (32:21) essentially dumping caustic product into China ahead of the reimposition of sanctions on them. I mean, did you hear similar things? Did that play a role as well? And obviously [Technical Difficulty] (32:36) get reimposed on the 6th of August. So, if that's the case, that may mean that this little blip we saw [Technical Difficulty] (32:45) blip, is that something that you guys have sort of heard of as well?
Albert Yuan Chao - Westlake Chemical Corp.: Definitely that could play a factor. We understand there's some Middle East and some of the other Asian caustic spot, many of the merchant buyer caustic have entered into long-term contracts. So, the volume of spot purchases and sales have been reduced, hence any movements in the supply and demand of spot caustic can influence prices quite a lot than before. So, we will see the volatility or choppiness in the caustic spot price going forward, but we still believe that global demand, economy is strong, demand for caustic is growing, and any excess capacities on a short-term basis will be absorbed. And over long term, we think that people are now seeing potential new projects claw lined (33:46) vinyls business primarily based on the very positive outlook they have on the caustic vinyl business going forward on a global basis.
Hassan I. Ahmed - Alembic Global Advisors LLC: Understood. Understood. Now, on the tariff side of things, as I take a look at the list of different sort of chemical products included by the Chinese to be tariffed, LDPE, LLDPE are included, but HDPE isn't. So, how should we think about – in a world where there are tariffs maybe [Technical Difficulty] (34:23), I mean how do you think that would play out with a divergence, tariff versus not in the different grades?
Albert Yuan Chao - Westlake Chemical Corp.: That's a good question. Our understanding is that now the tariff from China on the U.S. polyethylene exports to China applies only to homopolymers for LDPE, not to copolymers. It applies to the specialty grades of linear low density. I think the metallocene grade and not the general-purpose grade, the hexene or butene general-purpose grade of linear low and as you said, not on high density polyethylene. So, I think Chinese import needs are still strong and they have put tariffs only on the areas, they have somewhat good self-sufficiency and they're not putting tariffs on areas – on products that they need to import.
Hassan I. Ahmed - Alembic Global Advisors LLC: Very helpful. Thanks so much, Albert.
Albert Yuan Chao - Westlake Chemical Corp.: You're very welcome.
Operator: Thank you. And our next question comes from the line of Kevin McCarthy with Vertical Research Partners. Your line is now open.
Kevin W. McCarthy - Vertical Research Partners LLC: Yes. Good morning. In your Vinyls segment -
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning, Kevin.
Kevin W. McCarthy - Vertical Research Partners LLC: In your Vinyls segment, did your building products business experience a normal seasonal pattern in the second quarter versus the first quarter? Or were there any unusual impacts such as weather, for example?
Mark Steven Bender - Westlake Chemical Corp.: Kevin, we saw a good second quarter in terms of demand on the building products side; of course, there was colder weather earlier in the first quarter, but we also saw, I think, a normal second quarter and we've continued to see that as we move forward. Certainly, I know there have been lots of concerns about other dynamics, headwinds I would say, rates and such, but we've continued to see reasonably good demand in this space.
Kevin W. McCarthy - Vertical Research Partners LLC: Okay. And then as a follow-up, Albert, I was intrigued by your comment regarding slower growth in China. Can you elaborate on that in terms of the product lines where you're witnessing that dynamic, and what you think might be causing it, and whether and when these stimulus efforts could reverse that?
Albert Yuan Chao - Westlake Chemical Corp.: Well, we have a PVC operation in China. So, we have somewhat of a window to understand the dynamics. Actually, demand for our product is pretty strong domestically in China. But as we read from various reports that the – some of the construction activities has been slowing down in China. The Chinese government were clamping down on some of the non-regulated financing area, banking area of China and that caused some of the construction loans activity slowdown. And I think with the start of the tariff dispute with the U.S., the Chinese government now, as we understand it, has changed its strategies and trying to re-stimulate the economy through both fiscal and monetary policies.
Kevin W. McCarthy - Vertical Research Partners LLC: I see. That's helpful. And then lastly if I may, what outages, if any, do you have planned for the company in the latter half of 2018?
Mark Steven Bender - Westlake Chemical Corp.: So, Kevin, we have our normal planned activity, but nothing that I would call material as it relates to quarter three or four that would be out of the ordinary. And so we're back to a more normalized level of maintenance activity, and while there will be some ebbs and flows in Q3 and Q4, nothing that I would call that would be out of the ordinary normal maintenance activity.
Kevin W. McCarthy - Vertical Research Partners LLC: Excellent. Thank you very much.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And our next question comes from the line of Jonas Oxgaard with Bernstein. Your line is now open.
Jonas I. Oxgaard - Sanford C. Bernstein & Co. LLC: Hi guys.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning.
Jonas I. Oxgaard - Sanford C. Bernstein & Co. LLC: Wanted to ask about U.S. caustic, so historically U.S. caustic followed Asia caustic very well with trade. But right now it seems to be well elevated over Asia, there's a little bit of weakness, but doesn't seem to be going down. Can you give some color on this? And what's your thinking on it, is that sustainable?
Albert Yuan Chao - Westlake Chemical Corp.: Well, the U.S. economy as you have heard, second quarter GDP growth rate was 4.1% and outlook for the rest of this year is strong. And caustic demand follows the economy. So, I think the U.S. demand for caustic is strong and support prices. And as we said earlier, we had close to $90 a ton of price increase announced in the first quarter and into the second quarter, and a large part of those pricing announced increases has been implemented. And now I think the prices, we're being flat now rather than increase, even though the industry have made some further announcement of price increase, but we are seeing a steady price going forward.
Jonas I. Oxgaard - Sanford C. Bernstein & Co. LLC: Okay. But that still doesn't explain the arbitrage to Asia that doesn't seem to close.
Albert Yuan Chao - Westlake Chemical Corp.: Well, as I said earlier, the spot market in Asia and in the world has somewhat reduced due to the buyers getting into more longer-term contract purchase rather than a spot basis. And hence the spot price hasn't had a big influence on domestic prices either in Europe or U.S. or certain countries in Asia.
Jonas I. Oxgaard - Sanford C. Bernstein & Co. LLC: Interesting. Okay. Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And our next question comes from the line of Aleksey Yefremov with Nomura Instinet. Your line is now open.
Matthew Skowronski - Nomura Instinet: Good morning. This is Matt Skowronski on for Aleksey.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning.
Matthew Skowronski - Nomura Instinet: To start off, are increasing logistics costs having an impact on margin for building products? And if so, are prices rising fast enough to kind of offset these costs?
Mark Steven Bender - Westlake Chemical Corp.: Yeah, certainly, Matt, as you noted, we've certainly seen tightness in transportation and logistics services throughout the U.S. and certainly we use that in all of our business, including building products and we have been able to push those costs through further downstream. It's something that we're closely monitoring.
Matthew Skowronski - Nomura Instinet: Got it. Thank you. And then secondly, did you quantify the styrene outage impact on 2Q earnings?
Mark Steven Bender - Westlake Chemical Corp.: No, it was small. We did not quantify it, but it was small.
Matthew Skowronski - Nomura Instinet: All right. Thank you.
Mark Steven Bender - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. Our next question comes from the line of Matthew Blair with Tudor, Pickering, Holt. Your line is now open.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Hey, good morning, Albert and Steve.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning.
Mark Steven Bender - Westlake Chemical Corp.: Good morning, Matthew.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: With the Lotte cracker, I think the nameplate capacity is 1 million tons, but we've seen with some other crackers that have started up recently from like Dow and CPChem, they're either already expanding their respective crackers or they're running above 100% utilization. So, I was wondering if there's any sort of upside on that 1.0 million initial number from Lotte.
Mark Steven Bender - Westlake Chemical Corp.: Matthew, as we think about the facility, as you would imagine, anyone who's going to build a greenfield facility is going to look at maybe having the ability to have some pre-installed capacity to be able to expand, if the economics are right. And certainly as we look at the outlook for that, there'll be an opportunity to do cost-effective debottlenecks at the right time and certainly that's part of always the engineering and thinking of any new greenfield site. And so, we'll assess the markets with our partner as we march forward to see if that makes sense and what those capital costs might be if we choose to run either at higher rates or do as some others that do a quick expansion or debottlenecking.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Sounds good. And then, last August you raised your dividend by 10%, this year generally a stronger pricing environment plus a much better balance sheet. Could you talk about your expectations for the dividend going forward, especially given the current low yield?
Mark Steven Bender - Westlake Chemical Corp.: Well, Matthew, as you would imagine, we have a dialogue with our board on a regular basis and as we think about the outlook for the future, that'll be a discussion with the board and see what the board's conclusion is on that front, but that's a regular dialogue we have with the board every quarter.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Thank you.
Mark Steven Bender - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And our next question comes from the line of Dan DiCicco with RBC Capital Markets. Your line is now open.
Daniel DiCicco - RBC Capital Markets LLC: Good morning. Thanks taking my question. I have one more...
Albert Yuan Chao - Westlake Chemical Corp.: Good morning.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Daniel DiCicco - RBC Capital Markets LLC: ...on caustic in Asia. The 2+26 aluminum production curtailments in China last winter had a negative impact on prices. Do you see a similar theme playing out again this year? And then, could we actually see a greater impact this time around as China seems to have stepped up their inspections across the board?
Albert Yuan Chao - Westlake Chemical Corp.: That's a good question. As you said last year, I think starting November during the winter months, there were curtailment in the 2 and 26 cities in China, Northern China area and we don't know they will implement the same policy again this year. Well, time will tell.
Daniel DiCicco - RBC Capital Markets LLC: Okay. And then just on PVC, we saw the increases in the U.S. early this year, but then the domestic markets have been kind of flat during the seasonally strong period. Has this kind of played out relative to your expectations?
Albert Yuan Chao - Westlake Chemical Corp.: The demand in PVC, as we said, is strong. As you know that the spot ethylene price has dropped substantially this year compared to last year. And so ethylene is half of the PVC cost, so I think the market is saying that you have to improve your margins and hence you shouldn't be increasing PVC prices further. That's the sentiments among the consultants and customers.
Daniel DiCicco - RBC Capital Markets LLC: Great, thanks.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. At this time, the Q&A session has now ended. Are there any closing remarks?
Mark Steven Bender - Westlake Chemical Corp.: Thank you again for participating in today's call. We hope you'll join us again for our next conference call to discuss our third quarter results.
Operator: Thank you for participating in today's Westlake Chemical Corporation's second quarter earnings conference call. As a reminder, this call will be available for replay beginning two hours after the call has ended. It may be accessed until 11:59 PM Eastern Time on Thursday, August 9, 2018. The replay can be accessed by calling the following numbers. Domestic callers should dial 855-859-2056. International callers may access the replay at 404-537-3406. The access code for both numbers is 2265449. You may now disconnect and everyone have a great day.